Operator: Good day, and welcome to the Rollins, Inc. Second Quarter 2019 Earnings Conference Call. [Operator Instructions] I would now like to introduce your host for today’s call, Marilyn Meek. Ms. Meek, you may begin.
Marilyn Meek: Thank you. By now, you should have all received a copy of the press release. However, if anyone is missing a copy and would like to receive one, please contact our office at 212-827-3746, and we will send you a release and make sure you are on the Company’s distribution list. There will be a replay of the call, which will begin one hour after the call and run for one week. The replay can be accessed by dialing 1-888-203-1112, with the passcode 9599376. Additionally, the call is being webcast at www.viavid.com, and a replay will be available for 90 days. On the line with me today and presenting are Gary Rollins, Rollins’ Vice Chairman and Chief Executive Officer; John Wilson, Rollins’ President and Chief Operating Officer; and Eddie Northen, Senior Vice President, Chief Financial Officer and Treasurer. Management will make some opening remarks, and then we’ll open the line for your questions. Gary, would you like to begin?
Gary Rollins: Yes, Marilyn. Thank you and good morning. We appreciate all of you joining us for our second quarter 2019 conference call. Eddie will read our forward-looking statement and disclaimer and then we’ll begin.
Eddie Northen: Our earnings release discusses our business outlook and contains certain forward-looking statements. These particular forward-looking statements and all other statements that have been made on the call, excluding historical facts, are subject to a number of risks and uncertainties, and actual risks may differ materially from any statement we make today. Please refer to today’s press release and our SEC filings, including the Risk Factors section of our Form 10-K for the year ended December 31, 2018 for more information and the risk factors that could cause actual results to differ.
Gary Rollins: Thank you, Eddie. As you would expect, we’ve disappointed with our performance for the quarter. We, like most other pest control companies, have both strong and weaker growth periods with some seasonal timing uncertainty. Unfortunately, our situation is not like retail where everyone knows when Christmas comes. Historically, we had handled these weaker periods by adjusting our cost or headcount after the season to the more appropriate level. This year was unique because of the fact that the season was very late. Thankfully, July looks strong. So we have a make-up opportunity. For the second quarter, revenues rose 9.1% to $524.2 million, compared to revenues of $480.5 million in the second quarter of last year. Net income declined 3.3% to $63.4 million or $0.20 per diluted share, compared to $65 million or $0.20 per diluted share for the same period last year. When adjusted for the one-time Clark acquisition expense and the foreign currency exchange, it would be $0.21 per share. Eddie will provide greater detail on this and other financial results in a few minutes. Revenues for the first six months rose 7.2% to $953.2 million, compared to $889.2 million for the same period last year. Net income decreased 5.6% to approximately $107.7 million or $0.33 per diluted share, compared to $114.1 million with earnings per diluted share of $0.35 for the first six months of last year. We have a number of initiatives that will enhance Rollins’ future growth and margin improvement. I’d like to talk more specifically about these business improvements and how they will impact Rollins. As we approach becoming a multi-billion dollar company, the time is right to make strategic investments that will prepare us for the future. Some of these business investments and innovations are, as you recall, we improved our 401(k) and broadened stock grants at 2018 year-end. We estimate that this is an additional expense of $6 million for 2019. But we believe that there is not a better use of our resources. As a people business, our ability to recruit and retain excellent employees is paramount. This investment has helped generate a strong improvement in employee retention for our first two quarters. Next, we’ve increased and expanded our investment in customer routing and scheduling. This technology directly benefits our employees and customers. We now guide our technician to the customer’s address with the service day, it’s plan from start to finish. The technicians have better organized days and our customers receive better communication and appointment reliability. Our most recent technical innovation in this area is the adoption of Glympse, a software that enables us to communicate with the customer via text or email as to their upcoming service date and time of service. Our customers now even have the ability to see where there technician is when en route to their account. As a result of these tools, we have created a better relationship with our customers and a better job for our technicians. The customer is better served and has the capability to change their service day and time as their circumstances dictate. This investment has also contributed to our employees and customers retention improvements and reduction of miles driven. As you recall from our earlier calls that we are transitioning our pension to an insurance provider. When complete, this will create a significant administrative expense savings. Eddie will discuss this more details about this initiative in a few minutes. As I mentioned, we’ve made and are making these improvements and innovations to better prepare for the Company’s future and to help mitigate some of the challenges we experienced due to the seasonality of our business. Expanding our recurring revenue accomplishes this. As you would expect, there has been a significant amount of expenditures and effort that are associated with these initiatives that have and will have a positive effect on the company. I would add that our Company’s track record has shown that we don’t have a Spend Yourself Rich culture at Rollins. And we expect a favorable return on our new and improved program. With the Clark acquisition complete, we will continue to evaluate other acquisition prospects as adding great companies and brands will remain one of our primary objectives. John will now update you on the Clark acquisition and our other plans.
John Wilson: Thank you, Gary. We believe our track record with our acquired companies speaks to the success we’ve had in integrating and growing acquisitions made over the past 19 years, all of which have contributed in many ways to our profitable growth. Historically, the larger acquisitions require a bit longer to integrate, as you might expect, and that will apply to Clark as well. Once fully incorporated though, the long-term benefits of these acquisitions provide excellent top and bottom line growth expansion of our company and the ability to provide customers with additional pest control related services. These acquired companies benefit from our Internet experience, greater purchasing power and transferable technology. Clark is on track with our business plan and we expect them to be a highly successful addition to our family of brands. Gary and I are heading out there next week when we will meet with their team and check in on their progress. We are excited about Clark, as the majority of their branches are in Northern California and their addition dramatically strengthens our Company’s presence in this area. As you may recall, we ended 2018 with the best employee retention we’d experienced in our recent history, and in the first two quarters of 2019, continued on that trajectory. Further, as you would expect, employee retention directly correlates with customer retention. Improving and enhancing the benefit package for our team members obviously helps retain our people. However, investments in technology and process helps greatly here too. As we have slightly – I’m sorry – as we have simply improved team member job satisfaction with these various tools. A service technician’s relationship with their customers is extremely important to ensuring customer loyalty and expanding our customer base. As Gary has shared, our customer routing and scheduling capabilities are a large contributor to improvement in this area as it enables technicians to expand their service time. This enables them to better fulfill their customers’ needs, and in some cases, add additional customers to their route. For our field personnel, this technology provides additional benefits in the form of reducing the amount of time spent behind the wheel. For the second quarter, we again had nice improvements in driving efficiency as measured by miles per stop. Average miles driven per stop in our Orkin fleet were down 4% year-over-year and we have had 17 consecutive months of miles per stop reductions. One last item related to technology, we gained full implementation of our human resource information system during the first half of the year and this system when fully utilized solves a number of pain points for our field employees. We expect to see continued benefits through 2019 and beyond from these various technology initiatives mentioned. On another note, this time of year, we get a lot of questions about how our mosquito business is doing, although a relatively small part of our overall business at this point, this service line continues to grow and is in part driven by increased concern and public awareness around disease-borne issues including Zika, West Nile, and other diseases. Year-over-year, our mosquito service has grown over 35% and we expect continued growth in the future as we gain greater cross-sell penetration of our large pest control customer base. Now, let me turn the call over to Eddie to discuss our financials.
Eddie Northen: Thank you, John. I’ll begin our Q1 call discussing the strength of April only to have May and June demand look significantly different. We come to you again sharing what we know at this point with some pent-up demand from previous quarters coming through so far in July. Our second quarter results can be defined by looking at the past, the present and the future. Each of these time periods have a significant piece of the results that we are reporting to you today and will continue to build on results for quarters and years to come. For the quarter, all of our service lines showed growth and keys to the quarter included significant negative currency exchange through a stronger U.S. dollar and our growing international business, continued year-to-date improvements in both employee and customer retention, and uneven pest demand that Gary mentioned in the opening. To be more specific, the past events of our investment in enhanced benefits for our employees will impact this quarter by about $1.9 million, $1.5 million for the 401(k) and $400,000 for the special restricted stock, and about $1.75 million for the remaining quarters of 2019 as we add Clark to our 401(k) plan. While the vesting of the special stock grants was a one-time event this year, the 401(k) will be impacted moving forward by employees joining and leaving the plan or increasing or reducing their contribution as we move forward. John just spoke about the lasting outcome that this investment has made on our employee retention, which is the key driver to our long-term success. Again, as a reminder, these items impact both CSP and SG&A, which I will discuss in more detail in a moment. In addition to the items that Gary and John mentioned a few minutes ago, our present and future is and will be significantly impacted by our acquisition of Clark. We’re on pace with our integration and have already made positive changes related to vehicles, procurement and benefits plants. Clark will go live on our fleet systems the second week of August, which will be a step to getting their fleet operating margins more in line with Rollins’ levels. Based on past acquisitions, we have the opportunity to improve the fleet margins over 20%. Our Rollins’ support staff have visited with Clark in Lodi, California, and we are learning so much. On my recent visit, I had a chance to listen to customer calls and I was truly impressed with their call center function, the interaction with the customers and its efficiency. When I visited the Stockton branch, I gained a deeper understanding of how they run their operations at such an impressively high level. Since that time, several Clark employees have visited Atlanta to learn more about Rollins and how they can support our integration efforts. In addition to the reduced fleet expense, other items that will impact the P&L in Q3 and Q4 related to Clark are, depreciation will be up $1.9 million per quarter for buildings and vehicles added. We have received a draft of the valuation of Clark and including Clark as well as the other 40-plus acquisitions that we made over the last 18 months, amortization has increased $8.8 million. We are in a position to share more details related to the purchase interest expense now that we have worked through some of the specifics. For Q2, we had $1.9 million of interest for the partial quarter of borrowings. For Q3, we estimate $2.7 million, as we have already started paying down the loans and have added an interest rate swap to fix a portion of the loan at a rate of roughly 45 bps below LIBOR. We will continue to pay down the loans and estimate a reduction in interest expense to $2.5 million for Q4. Again, we’ve already started to pay off the outstanding loans and our plans are to be debt-free by early 2022. Finally, professional services were up $1.9 million for Q2, significantly higher than originally anticipated at the time of our Q1 call due to an in-depth regulatory review and the need for economic experts to support our case for acquisition as well as expertise related to the real estate transactions. There will be an additional $400,000 of expense related to this in Q3 and we anticipate nothing in Q4. For those of you that had a chance to review the release of our 8-K related to the Clark audited 2018 financials, I wanted to share some additional detail. From the bottom line results that were shared, there are approximately $11 million, which will be excluded as we move forward in time. $5.7 million of that is for rents that are no longer paid since we now own the properties, an additional $2.4 million on elimination of vehicles and transportation and then other expenses in addition. These expenses were normal private company expenses and there was agreement to make these changes prior to the finalizing of the acquisition. There will be several margin points of gains from these changes that will be added to the additional changes that we add from our integration of the business previously mentioned. One additional item where the Clark deal will have benefits will be in our free cash flow. Including the acquisition and the benefits of Clark, we will have approximately a $40 million increase in free cash flow for 2019. Even with lower than average net income in Q1 and Q2, this increase is in line with the previous few years. For 2019, as we’ve shared on prior calls, the earnings per share will be flat, but we believe the deal will be accretive by half a penny for the full year of 2020. Looking at the numbers, the second quarter revenues of $524 million was an increase of 9.1% over the prior year’s second quarter revenue of $480.5 million. There was an accounting change that increased our franchise revenue recognition last year by approximately $1.5 million, that did not occur in 2019. Income before income taxes improved from Q1, but decreased 3.6% to $87 million from $90.2 million in 2018. Favorable expense adjustments were made, but demand still lagged in several areas during the quarter. This impacted all of our subsequent financial metrics as well. Net income fell 1.9% to $64.3 million. Earnings per share was $0.20 per diluted share, in line with $0.20 per diluted share in the first quarter of 2018. EBITDA was $109 million, up 2.2% over Q2 2018. EBITDA is the best measure for the near term with the addition of Clark. Revenue for the six months ended June 30, 2019 showed was $953 million, an increase of 7.2% over the prior year’s second quarter revenues of $889.2 million. Income before income taxes decreased 4.3% to $143 million from $149.4 million in 2018. Net income fell 4.9% to $108.5 million and earnings per share was $0.33, down 5.7% from the 2018 number of $0.35. EBITDA was $181.5 million, down seven-tenths of a percent compared to 2018. I detailed out some of the past and the present. Now, let’s turn our discussion to the future. As first mentioned several quarters ago, we are in the final stages of transitioning our fully funded pension plan off of our books. There are so many positive impacts from this step, which include managing the volatility of the assets, the elimination of that, the elimination of the annual $5 million payment to fund the plan and the elimination of the daily administrative management of the plan. In addition, since our plan is approximately 104% funded, which equates to roughly $6 million, these assets will be deployed in other areas of our business that will be discussed on our Q3 earnings call. Most of the financial impact from the pension transition will occur in Q3. First, we will have a significant non-cash charge of approximately $76 million pre-tax, which will be pension expense in Q3 which will equate to approximately $0.20 per share after taxes. This $76 million expense is the accounting treatment of the accumulated sum of unrealized losses associated with our plan. Net of tax, the loss will be approximately $64 million. The tax treatment is consistent with the method other companies would apply. The tax effect from the transition of the pension plan will be a reduction in the effective tax rate for the third quarter and for the year. Let’s take a l.ook through the Rollins’ revenue by service line for the second quarter. As discussed earlier, our total revenue increase of 9.1% included 5.5% from Clark and other acquisitions, and the remaining 3.6% was from pricing and organic growth. In total, residential pest control, which made up 43% of our revenue, was up a 11.1%, commercial pest control, which made up 37% of our revenue, was up 7.7%, and termite and ancillary services, which made up approximately 20% of our revenue, was up 9.2%. Again, total revenue less acquisitions was up 3.6%, and from that, residential was up 4.6%, commercial increased 2.8%, and termite and ancillary grew 4.6%. In total, gross margin was down slightly to 51.7% from 52% prior year’s quarter. The quarter experienced increases in most expenses due to acquisitions as well as in administrative salaries due to amortization of the employee special restricted share grants from the prior year and increased salaries. Service salaries, materials and supplies and fleet increased with production for the period. Taking out these one-time items, gross margin would have been 51.8%. Depreciation and amortization expense for the quarter increased $3.8 million to $20.1 million, an increase of 12.9%. Depreciation increased $1.5 million due to acquisitions and equipment purchases as mentioned earlier, while amortization of intangible assets increased $2.2 million due to the amortization of customer contracts from several acquisitions. Sales, general and administrative expenses for the second quarter increased $18.5 million or 12.9% to $161.9 million or 30.9% of revenues, up 1.1 percentage point from $143.4 million or 29.8% of revenues for the second quarter of 2019. The increase in the percent of revenues, as I discussed, is primarily due to acquisitions and the amortization of restricted shares from the 2018 special grant distribution and increases in the 401(k) expense. Taking out these one-time items, SG&A would have been 30.3%. As for our cash position for the period ended June 30, 2019, we spent $414.8 million on acquisitions, compared to $54.6 million the same period last year. We paid $68.7 million on dividends and had $13.4 million of CapEx, which was up 5.7% in 2018 primarily from planned IT upgrades, such as our BOSS Canada rollout and building improvements. We ended the period with $98.5 million in cash, of which $67.8 million is held by our foreign subsidiaries. Yesterday, the Board of Directors declared a regular cash dividend of $0.105 per share that will be paid on September 10, 2019 to stockholders of record at the close of business August 9, 2019. The cash dividend is a 12.5% increase over the prior year. This marks the 17th consecutive year the Board has increased our dividend by a minimum of 12%. Gary, I’ll turn the call back over to you.
Gary Rollins: Thank you, Eddie. We’re happy to take your questions at this time.
Operator: [Operator Instructions] We’ll now take our first question from Michael Hoffman with Stifel.
Michael Hoffman: Thank you very much for taking the questions. I have a big macro question that within is about the pest control market broadly. Do you believe that you’re beginning to see a secular decline in the overall underlying growth rate – organic growth rate, and then it will be part of a cycle, we’ve had an improvement tied to an improving economic cycle starting to slow, is the overall market growing slower?
Eddie Northen: Yes, Michael. This is Eddie. I don’t know that we have any insights that would change what we believe will continue to be a growth market as we move forward in time. I think current weather patterns have moved things on one side and the other. Over the previous few years, current weather patterns, warmer during the warmer seasons and I think we’ve seen growth occurred during those times. I think that you actually highlighted some of the weather patterns that we’ve seen over the first part of this year in certain areas at least in the U.S. and I think we’ve seen adjustments with that. So, I don’t know that we know anything or see anything secular in nature or different in nature other than what we’ve seen.
Michael Hoffman: Okay, thank you.
John Wilson: And I think one advantage that we have is what we now have about 400 branches in North America. So, we really didn’t see from coast to coast and certainly as Eddie said that weather has a lot to do with how the season starts and we’re just not seeing an overall decrease as far as demand is concerned.
Michael Hoffman: Okay, that’s helpful. And then switching gears to Clark and I’ll come back into the queue. I just want to be clear on the comment you shared with us, Eddie. So there is a – in the 8-K there’s – I’m rounding there is approximately $9 million of reported income by Clark and you’re suggesting that you have $11 million that you can add back to that because of underlying, it was vehicles and – forgetting the other item, you pulled out here, as I’m looking through my notes, vehicles and rents were $8 million of that, but there is $11 million. So I’m looking at $20 million as a starting number. Is that the right way to think about it on the way you’d run the business before any other adjustments?
Eddie Northen: I think that’s a fair way thinking about it. Yes.
Michael Hoffman: Okay. I’ll come back in the queue.
Eddie Northen: Thank you.
Operator: We’ll now take our next question from Dan Dolev with Nomura.
Dan Dolev: Hey, guys. Thank you for taking my questions.
Gary Rollins: Good morning, Dan.
Eddie Northen: Good morning.
Dan Dolev: I was a little bit – hey, good morning. I was a little bit surprised on the commercial side that I think the comp was a little bit easier. I’m not wrong; you did about 2.8% organic growth in that sub-segment that’s quite a bit lower than if I look historically, you’re averaging 4%, 3%. Is there anything we should be concerned about regarding competitive pressure from your larger competitor that’s being more aggressive on that side? I can’t help is that – is the weather impact in commercial like it impacts residential? Thank you.
Eddie Northen: Yes. So, Dan, I would say, looking at a year ago, we grew 4.2%, that’s a pretty hefty number on the commercial side, and I would say that one of the things that we saw in the quarter was fumigation and that was just from some individual jobs and customers that just didn’t come through and fumigation is a piece of what we do on the commercial side, it’s not tariff related, it’s not anything else like that, it’s just actual jobs that didn’t come through that we have historically seen. So, it wasn’t competitive in nature at all. When we went through and looked at what those impacts were over that time period, it was rounding to a percent for us on the commercial side. So, we’ve made adjustments, where we can in the operations with that, but that’s something historically, we’ve not seen kind of moves like that. So, no competitive concerns at this point, a little bit of a higher comp from a year ago and the fumigation piece.
Dan Dolev: Got it. And just a separate question, we’ve done some survey work here that show that obviously, the customer satisfaction is very good and people that like the Orkin service really like the customer satisfaction. But on the other hand, it felt like pricing matters more than what I had expected. It is – this industry has been known for almost infinite price inelasticity. Have you noticed any changes in anything push back from customers on the price increases? Thank you.
Eddie Northen: Yes, thanks for that. We’ve not seen issues with that. I think as you know we’ve talked about, I think our marketing group is very robust and they’re testing, so that we want to know and understand what sort of temperature we’ll have when it comes to rolling out our price in individual markets and in individual areas, because we do not want to lose customer for price, because the lifetime value of the customer is the most important thing to us. So, I think we feel comfortable with the testing that’s going on. I don’t know of any material push back that we’ve had. Our pricing is relatively in line with what we’ve seen in previous years. And again, as we mentioned on the call, our customer retention numbers continue to improve. So, I don’t think that we’re seeing issues or concerns or problems at this point in time in that area.
Gary Rollins: Eddie, if I could, we’re very fortunate in our call center that we have – that we can verify really if there’s any pricing issues with our closure. So, we kind of have a laboratory, if you will, that you have the same people kind of handling these calls from the Northeast and the Midwest and so forth and so on. So, we’re able to track closure literally by region and division.
Dan Dolev: Got it. Thank you, Gary. Appreciate it. Thanks, Ed.
Eddie Northen: Thanks, Dan.
Operator: We’ll now take a question from Jamie Clement with Buckingham.
Jamie Clement: Hi, good morning, gentlemen.
Gary Rollins: Good morning.
Eddie Northen: Good morning.
Jamie Clement: Right. I was just curious if I could get your thoughts. I think this was – this has been an unusual year in the sense that from our perspective, the industry has faced some unusual weather in both the first and the second quarters, and what I was curious about was, if in local markets, some of your competitors and everybody, who has found it hard to generate leads in the first quarter, do they tend to spend more trying to generate leads in the second quarter? Did you notice any of that? And how do you all strategically respond? Do you try to match them or you just kind of stick with the blueprint?
Eddie Northen: I think we’ll stick with the blueprint, the marketing really has to go through and figure out ways to be innovative when it comes to that acquisition cost per lead and then it’s on us to be able to make sure that we’re doing what we tend to close the lead from there. I don’t think we’ve seen anything different having to do with even the price necessarily for that in total. Now, there are some channels obviously that are more expensive, but our marketing group, I think again, it’s doing a great job by going and finding other channels to be able to create some of those leads and it’s just a matter of, is there enough demand there for the lead? And I don’t think it’s necessarily that we’re not winning leads. I think, it’s just been the demand that is there and the leads not being available to us.
Jamie Clement: Okay. Thank you. And Eddie, I’m not sure I caught this. were you saying that depreciation as a result of Clark would be up about $1.9 million sequentially from Q2 to Q3?
Eddie Northen: I don’t think I said that about depreciation.
Jamie Clement: Okay. Basically, I was trying to get is sort of like, what’s the current all-in quarterly D&A number post-Clark?
Eddie Northen: Yes. We did say it was up $1.5 million year-over-year.
Jamie Clement: I thought there was a different number you gave about Q story and I didn’t know if that was cumulative, I just was – just because you know it’s non-cash and I just wanted to make sure that there are no just modeling errors.
Eddie Northen: We’ll go back and we’ll look at the transcript and we’ll share that with you. How about that?
Jamie Clement: Okay, all right, great. And yes, just a general comment, Gary, how the international businesses are performing?
Gary Rollins: They are performing well. We’re very pleased. We’ve had some challenges in Australia, but we seem to have turned the corner there, their economy has not been as robust as we have here in North America, but we’re very pleased with UK, we’re very pleased with our operation in Singapore. And so I think all in all, we’re pleased with our international business.
Jamie Clement: Or more international acquisition is very much on the table?
Gary Rollins: I think so. We continue to have candidates. And I think our track record is – has helped us understand what we can expect and when we can expect it. So, I think we’re a little bit more robust than we were before, but we’re really pleased, and one of the great things is that – is these people that have built these businesses have stayed. So, we don’t have to learn the culture and all other things that a local individual is already extremely familiar with. And I think that’s a – that’s been a blessing and we also have a position that we can refer a candidate to our other acquired companies.
Jamie Clement: Right.
Gary Rollins: And that’s helped us a long ways, because I think we get good results or good feedback that we don’t go in and try to change everything or change everybody that’s patient, and we try to cheer things if we think would benefit them, but we’ve not taken a heavy hand and I think that goes a long way when you’re trying to acquire companies.
Jamie Clement: Okay. thank you all very much for your time and I appreciate it.
Eddie Northen: Hey, Jamie, to close the loop, I did mention, I just want to make sure the total depreciation versus what we called out for Clark, we did say up $1.9 million per quarter for building the vehicles having to do with Clark.
Jamie Clement: And that’s – so that was second quarter year-over-year?
Eddie Northen: That’s correct.
Jamie Clement: Okay. All right. Thank you very much.
Eddie Northen: You’re welcome.
Operator: [Operator Instructions] We will now move to Tim Mulrooney with William Blair.
Tim Mulrooney: Good morning. Eddie, you and Gary and John, you guys thrown a lot of numbers out of this morning on the margins, if you could exclude Clark for a second, just stepping back here, I kind of thought margins would have been heading up higher this year with the roll-off of some of your IT expenditures, maybe, a more normalized growth of recurring revenue customers, but it appears like maybe there are more headwinds here, other things to consider offsetting some of these benefits. Could you just step back for us and kind of give us the major puts and takes on margin in 2019 and how we should think about – how we should think about the major puts and takes overall I guess? Thank you.
Eddie Northen: Tim, I think if you take – if you take Clark out, the benefit piece is going to be one of the larger pieces that we’re going to have that will be out there, that as you know, it wasn’t something we thought was going to be a headwind expense-wise, we thought we would be flat to the previous year. But with our improved usage of the plan, more people joining the plan, more people increasing their match in the plan that has been an additional expense for us. But the other piece of it is it’s going to be staffing for a season that hasn’t come as normal or as expected. We don’t have a dollar amount for that. We don’t have a dollar amount to give you put and take, having to do with that, but the solid numbers that we have talked about do have to do with the benefit.
Tim Mulrooney: All right. That’s helpful. How do you think about margin on a go-forward or a long-term basis? Do you think this business tops out in the 20%, 21% EBITDA margin range? Or is there more room to run through stronger density and tech investments and stuff like that?
Eddie Northen: I think coming from the density background, that’s before Gary convinced me to make the best decision in my life after marrying my wife was learning and understanding the importance of density and every single time John and Group find and acquire a mountain top company, they find and acquire a regional company that we end up rolling into another existing brand or organization, we get a little bit more depth, we get a little bit more efficient and we become better every single time that happens. So to me, in an extremely fragmented industry like we have, I think the upside opportunities continue to be out there for years to come. And I think when you double down on that with the technology investments that we have made and the fact on how we are executing on those technology investments at this point in time, with a lot of runway to go, I still think personally there is a lot of upside potential that has to go with that.
Tim Mulrooney: So, a lot of runway left, no reason structurally why Rollins’ EBITDA margin tops out at 20%, 21%.
Eddie Northen: I don’t believe so. I think there is more room potentially to go as we look forward in time.
Tim Mulrooney: Thank you. I just want to squeeze in one more here, because of kind of related to that. Just on the Clark acquisition, if I add back that $11 million to the reported how we calculated EBITDA of $16 million, we get more to a run rate EBITDA for Clark that’s closer to 20% already excluding those $11 million one-time items or items that won’t repeat, am I doing that math right? Are you getting to a go-forward Clark EBITDA margin in the high-teens range? And where do you think you can get that to in a couple of years? Am I doing the math right and how do you think about it long-term? Thank you.
Gary Rollins: Yes. I think your math is right. We started calling out some of the things that we are already moving on having to do with improving our vehicle margin. We’re going to be moving those folks over to – the car folks over to some of our benefits plans, which is going to be a saving. We’ve already started with some of our procurement spend items. So, we know they’re going to be multiple margin points that are going to be in addition to those other items that I called out to be $11 million. The good news is like I had mentioned, we’ve had our support staff out there. We understand what we can move on in the priority of how quickly their needs are. They’ve been here to work through those integration steps and like I said. So even in two weeks, we’re starting with the fleet; we’re going to start moving the fleet piece of it. The 401(k) plan is going to be moving over in August to the Rollins’ 401(k) plan, which would be a saving. So there is – there are multiple opportunities that we believe from a margin perspective, will help in addition to what you lined out.
Tim Mulrooney: I understand. Thank you. Good luck in the back half of the year.
Gary Rollins: Yes. Thank you.
Operator: [Operator Instructions] We’ll now take a follow-up from Michael Hoffman with Stifel.
Michael Hoffman: So, there’s two pieces here. One on the – you gave us an adjusted gross margin of 51.8%, which pulled out all the noise. So, that’s still down year-over-year and yet retention’s better. I’m still struggling with why margins aren’t improving. And then the second part, you gave us an $8 million amortization number, but you didn’t tell us whether that was like quarterly or how does that flow through? So, when I look at D&A, in total, I got $1.9 million for Clark plus what for amortization per quarter?
Eddie Northen: Yes. So, Michael, I’ll go back to the first question that you had there. And I think it’s a little bit of what we – what we responded back to Tim there. We’ve staffed for a season that has not come through as we’ve seen from a normal demand perspective. And as Gary opened up the call, we’re not – our efficiency isn’t as good as we would normally have it and we’re making adjustments for that, it’s just the abnormality of kind of the way this has fallen. We don’t want to be in a position, where we’re not staffed accordingly for a season, have the season come and then not be able to take care of things from a customer perspective and a long-term customer value perspective. So, we had an abnormality there and I think that’s what we’re seeing as part of that margin piece. We’re moving forward, we’re making adjustments to that, like I said, July has been off to a good start.
Gary Rollins: I’d like to add that, if we’d cut our vehicles and our head count a month ago, we’d really be in bad shape right now. So, whether you like it or not, you’ve just got the hold on and fortunately, I guess, July now is showing that that strategy or those actions were really the right things to do, but it’s very painful when you have that period that you’re not giving your revenue as you were expecting, but you’ve got that incremental expense build up in the form of headcount and vehicles. So that’s really what put more pressure on the margin than any piece other than that.
Eddie Northen: And Michael, we’re not going to manage through a quarter, I mean that’s the bottom line of what our company is about and it’s the way that Rollins has been successful for a lot of years and we’re not going to make a short-term decision that might help our margin a 1% or 2% or whatever else like that and then damage the long-term business. We’re not going to do that and that’s unfortunately what we’ve gone through these first two quarters, and to Gary’s point, it’s paying off and we’re seeing the demand that’s coming through and we’re prepared for that.
Michael Hoffman: Can I just ask a clarification just so I make sure I understood everything, I get why you are making in the statements you are making, I get the business management reasons for managing the costs the way you did. If the second-half growth rate is a good growth rate, but it’s still organic – is lower year-over-year, by all rights the margins should expand, because of the way the math of adding new customers, lower margin in the first year, better margin in the second, really good in the third, isn’t that the – is that the right way to think about that all else being equal?
Eddie Northen: That’s exactly the right way to think about it.
Michael Hoffman: Okay.
Eddie Northen: you’re exactly right with how to think about it and that’s what our expectations would be as we’re moving through the remainder of the year.
Michael Hoffman: Okay. thanks. And then just a clarification on the amortization number you gave us. how do I apply it in the model?
Eddie Northen: That’s going to be year-over-year increase, is what that’s going to be…
Michael Hoffman: Full 12 months, so divided by 4.
Eddie Northen: Correct.
Michael Hoffman: Okay. All right. Thanks.
Eddie Northen: Yes. I do want to clarify one other thing, Jamie, you had asked your question earlier about the depreciation, I misstated something. So, I just want to clarify that. The $1.9 million for the depreciation for Clark is going to be for Q3 and Q4. For Q2, it was $1.3 million and that’s because we acquired them at the end of April. So, two months out of the quarter. So, I want to make sure that we clarify that.
Operator: And we do have a follow-up question from Jamie Clement from Buckingham.
Jamie Clement: Eddie, thank you for that. And then just one follow-up question, just reading a little bit of the news about California and some of the like rodenticide situation with the legislation and that kind of thing. Is there like – is that an opportunity for somebody like you if the industry has to change the protocols?
Eddie Northen: Well, that’s a really good question. John’s probably closer to that.
John Wilson: Yes, Jamie, that’s a great question. I don’t know, I’m not sure anybody knows right now. I was reading an article on that just last night. So, we’re not real sure just yet. We do – there’s obviously, if you take away the second generation rodenticides, the opportunity for the rodent populations to grow pretty dramatically is there.
Jamie Clement: Yes.
John Wilson: And so that creates opportunity, but it’s unfortunate and we’re as an industry wrestling with that as we speak. But I think there can be opportunity there, just may not be – it just may not be good for the residents of California.
Jamie Clement: Yes, now I get it.
Gary Rollins: I think it gets down to how much pressure the public is going to put on these regulators. Of course, rats are pretty onerous and just for appearance, if nothing else. So, it’s going to be interested to see, because I think this is the first legitimate shoot-out that you have between the environmentalists, who think they did the right thing, but apparently by all indications, this has just really backfired. I mean this has unintended consequences and we certainly have more rodent leads than we had, I mean, it’s the respondents of the population, but it’s going to be really interested to see how this thing shapes out.
Eddie Northen: Jamie, one other thing, too, they haven’t taken these products away from use in food processing plants. So, they’re still going to be out there and then further to that while you can’t buy them off the shelf in a grocery store in California, you can order them on the Internet and dependent on the number that you look at, we may be taking care of 20%, 25% of the population. The rest is unvended and they’re going to various Internet sources and buying those same products and they’ll still be using them.
Jamie Clement: And probably using them – and using them less responsibly than you’d be using them.
Eddie Northen: Exactly right. And that’s been our big issue with the regulation, so...
Jamie Clement: Okay. I appreciate all that.
Eddie Northen: Yes, absolutely. Thanks, Jamie. Michael, one other clarification for you having to do with the amortization kind of similar to back to the question that Tim had having to do with the depreciation and I misstated. So, the amortization for the quarter was about $2.2 million, but we only had two months of Clark as part of that. So, the amortization, as we move forward per month year-over-year, will be slightly higher than that. So, just because – so obviously, we’ll have what, three months, going to be in there, but I just want to clarify that.
Operator: And it appears there are no further questions at this time. I’d like to turn the conference back over to management for any additional or closing remarks.
Gary Rollins: Well, thank you for joining us today. We appreciate your interest in our company and we look forward to updating you on our progress in these numerous new programs and initiatives that we’re taking, and also the fact that the season this quarter certainly is starting strong and we would hope that that will continue throughout the quarter. Thank you.
Operator: And once again, that does conclude today’s conference and we thank you all for your participation. You may now disconnect.